Operator: Thank you for standing by. At this time, I would like to welcome everyone to the Hamilton Beach Brands Holding Company Q2 2023 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Lou Anne Nabhan, you may begin your conference.
Lou Anne Nabhan: Thank you, Sheryl. Good morning, everyone. Welcome to our second quarter 2023 earnings conference call and webcast. Yesterday, after the market closed, we issued our second quarter 2023 earnings release and filed our 10-Q with the SEC. Both copies are available on our website. Our speakers today are Greg Trepp, President and Chief Executive Officer; and Sally Cunningham, Senior Vice President and Chief Financial Officer. Our presentation today includes forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in either the prepared remarks or during the Q&A. Additional information regarding these risks and uncertainties is available in our earnings release and 10-Q and our annual report on Form 10-K for the year ended December 31, 2022. The company disclaims any obligation to update these forward-looking statements, which may not be updated until our next quarterly conference call, if at all. And now I'll turn the call over to Greg.
Gregory Trepp: Thank you, Lou Anne. Good morning, everyone. Thank you for joining us. I will take the next few minutes to provide an overview of our performance for the second quarter of 2023 and discuss our expectations for the remainder of the year. Then, Sally will discuss our financials in more detail. After that, we will take your questions. As we've discussed in our previous calls this year, we expected a solid performance for the full year 2023, but a soft first half. Our revenue outlook for the full year remains the same, flat to 2022, with increased revenue in the second half of this year, offsetting the decrease in the first half. Year-to-date, our performance for inventory, debt and cash flow has been stronger than expected. In the second quarter, total revenue decreased 7.1%. Geographically, revenue declined in the U.S., Latin America and Canadian markets, mostly driven by lower unit volume. Revenue increased in our Mexican market as a result of our new placements our team secured for this year. In the U.S., many of our large retail customers managed overall inventory levels conservatively across all categories early in the quarter and orders were reduced compared to last year. These actions were a response to being too long in inventory last year due to supply chain issues and as inflation and high interest rates created uncertainty about consumer demand. The situation improved as the second quarter unfolded. June was a strong month, we believe, setting the stage for our expected stronger second half. In Latin America, many retailers, and one of our largest customers, in particular, continued to rebalance excess inventories created by last year's supply chain disruptions. In the global commercial market, revenue decreased. We attribute this to a normalization of demand as compared to last year's second quarter, which experienced strong post-pandemic demand in the foodservice and hospitality industries. We continue to make very good progress in improving net working capital and reducing debt. Regarding our inventory rightsizing efforts, we made meaningful progress in the fourth quarter of 2022. The first and second quarters of 2023, we further reduced our inventory levels at a slightly better rate than anticipated. We ended the second quarter with inventory at $137 million compared to $228 million at the end of last year's second quarter. Our debt came down significantly as well. We are excited about our prospects for the second half of this year. Our expectations for the stronger second half are due to placements of innovative new products and progress with our strategic initiatives. This year, we are introducing more than 40 new product platforms across a wide variety of categories. These include products in high demand categories like single serve coffee, personal blenders, ovens, grills, slow cookers, garment steamers and many others. Our team has done an outstanding job securing placements and promotions for our new products across a broad range of customers and channels. We've also gained market share this year that we expect will benefit us in the second half. For the 12 months ended June 30, Hamilton Beach remained the number one brand in the U.S. based on units. We gained share in 28 categories and held a top three share in 26 categories. Our commercial business is expected to grow in 2023, driven by new product launches and new distribution. We continued to leverage our leadership and heritage positions in the blending and mixing categories, while we expand into new areas, including back-of-the-house solutions. We continued to invest in our strategic initiatives, which are designed to increase revenue, expand operating margin and generate strong cash flow over time. As a result, we now have a growing number of licensed brands for premium products, including Wolf Gourmet countertop appliances, CHI garment care products, Clorox air purifiers and Brita electric countertop water filtration systems. We also have several new exclusive multi-year agreements under which we develop, market and distribute appliances and markets that are new to us. These include the Bartesian cocktail machines, the HealthBeacon home medical system for injection care management and the Numilk appliances that we plan to launch early next year for plant-based milks. We believe we are well-positioned to benefit from these investments. Today, I would like to focus on two of our strategic initiatives and provide some background on the opportunity and potential we see for our Numilk partnership and in the home medical market. First, our Numilk partnership. In March of this year, we announced an agreement with a company known as Numilk, which provides a system for making fresh plant-based milks on demand. We are very excited about this partnership and see great potential in both retail and commercial applications as the use of plant-based milks continue to grow. Numilk has made excellent progress developing an exciting opportunity in the plant-based milk market. Their process combines raw ingredients that Numilk provides in pouches with water in a blender type appliance to produce fresh plant-based milks. Numilk's ingredients are known for high quality and excellent taste. Numilk desired a next-generation appliance and a partner to help scale their business. We were delighted to be selected as their partner. This partnership will leverage our strengths in product design, in engineering, sourcing, sales, marketing and distribution. We believe the market opportunity is significant. The plant-based milk market and the household penetration are fast-growing. Globally, sales were approximately $20 billion. Last year in the U.S., the retail market for plant-based milk was nearly $3 billion. Household penetration was estimated at 42%. Research indicates that one in three adults drink plant-based milk weekly and more people are trying it. We expect U.S. sales of the plant-based milk category to grow approximately 10% annually. Many people are interested in making these milks at home rather than buying prepackaged products. This approach produces a product that is fresher and free of preservatives. The same goes for coffee shops and other commercial establishments. People also appreciate the environmental benefits of a reduced carbon footprint from saving energy and shipping and decreasing packaging sent to landfills. We are completing the product designs for both retail and commercial machines. Our plan is to launch the new products in early 2024. Next, I will address our initiative to expand in the home health and wellness market. We began the initiative to increase our participation in this large and fast-growing market in 2021. We are pleased with the progress we have made, introducing new products in the air purification and water filtration categories, each of which have estimated revenues of $1 billion annually in the U.S. Our new premium True HEPA air purifiers that we are selling under the licensed Clorox brand have been received well by retailers and consumers. Our air purifiers are used by many households to help with indoor air quality due to allergies and the presence of pollen, pet dander and other particulates. The impact of devastating wildfires is also driving demand. Our new products are in the market at a time when consumers need the most. We're glad to be able to provide a premium level solution in a difficult situation. Additionally, we plan to launch other new products under the Clorox brand name, including a countertop steam sanitizer and a humidifier. We also are pleased with our launch earlier this year of our new electric countertop water filtration system sold under the licensed brand Brita. The electric system processes water from the tap much faster than standard pitchers to create clean, great tasting water. The product uses Brita's best filter ever to reduce 70 plus contaminants. Additional reception has been favorable. As of June 30, the new Clorox air purifiers, the Brita Hub, scored an average 4.7 and 4.6 star ratings in the eCommerce channel of a possible 5.0 stars. We are very excited about the level of consumer response. Next, I will discuss our strategy for the home medical market. This market is more nascent and perhaps less well-understood, so I wanted to discuss the opportunity we see participating in what is expected to be a significant growth in the coming years. Several trends are converging to create the growth potential. First, the aging population in our country is increasing significantly. Many seniors are living with and managing chronic health conditions. Demand for personalized healthcare solutions is rising in lockstep. The need exists in the younger demographics as well. The healthcare industry increasingly is looking for new ways to enable patients to manage their health at home. Additionally, there is a growing shortage of primary care physicians, nurses and other medical clinicians. This is expected to further drive demand for at-home solutions that will improve patients' health. Technology and connected devices can help accelerate the way many medical services are delivered. New machines combined with digital support systems can enable patients to manage many medical needs at-home. Our strategy is to partner with companies that specialize in breakthrough technologies that need help with branding, hardware development, sourcing sales and distribution in our core North American market. We are very excited to have joined forces with a company called HealthBeacon Limited. HealthBeacon is a leading developer of smart tools for managing injectable medications at home. Our initial product is called the Smart Sharps Bin from Hamilton Beach Health powered by HealthBeacon. Last year, we set up the selling infrastructure and began initial distribution. We will continue with our direct-to-consumer sales, and in collaboration with HealthBeacon, have increased our focus on specialty pharmacies which are distinct from traditional pharmacies. Specialty pharmacies coordinate many aspects of patient care and disease management. They efficiently deliver medications with special requirements for handling, storage and distribution. They work to improve clinical outcomes for patients with complex orphan chronic and rare conditions. HealthBeacon has secured agreements of specialty pharmacies that we expect will begin to drive sales this year. We are exploring additional opportunities to collaborate with HealthBeacon and other prospective partners in the home medical market. We hope to announce some exciting new opportunities in the coming months. And now I will turn our discussion over to Sally.
Sally Cunningham: Great. Thank you, Greg. Good morning, everyone. I'll start with our second quarter 2023 results compared to the second quarter of 2022. Net sales for the second quarter of 2023 were $137.1 million compared to $147.5 million for the prior year. The decrease was primarily driven by overall lower unit volumes in most of our markets, which resulted from the previously mentioned soft consumer demand and retailer rebalancing. Gross profit was $27.4 million or 20% of total revenue compared to $32 million or 21.7% in the prior year. Margin contraction was due to unfavorable customer and product mix, resulting in a lower average margin, the impact of lower volume on fixed cost coverage and a non-cash lease impairment charge of $500,000 related to the consolidation of warehouses. Selling, general and administrative expenses of $26.6 million was flat compared to the second quarter of 2022. Higher employee related expenses were offset by lower outside service expense. Operating profit in the quarter was $700,000 compared to $5.4 million last year, reflecting the gross profit contraction. Net interest expense of $800,000 was $100,000 less than last year, reflecting a significant decrease in average debt compared to June 30, 2022, offset by higher interest rates. Other expense net was flat compared to 2022 and includes currency gains of $400,000 in the current year. The effective tax rate on income was 50.9% this year compared to a benefit of 5.8% last year. The effective tax rate was higher this year due to a discrete benefit from the reversal of interest and penalties on unrecognized tax benefits in the prior year that did not recur and a discrete expense in the current year for state income tax. Net income for the second quarter was $100,000 or $0.01 per diluted share compared to net income of $5.1 million or $0.36 per diluted share in the prior year. Now turning to our balance sheet and cash flows. Net cash provided by operating activities was $57.3 million compared to cash used for operating activities of $25.5 million last year, primarily due to our focus on net working capital improvement. Net working capital provided cash of $69 million this year compared to a use of cash of $36.1 million in 2022. Trade receivables provided net cash of $26.4 million compared to $19.8 million due to collection initiatives that led to days sales outstanding improvements. We continue to take significant actions to reduce inventory and manage accounts payable. Net cash provided by inventory was $20.4 million compared to $45.7 million used in 2022. Net cash provided by accounts payable was $22.2 million compared to $10.3 million used in 2022. Capital expenditures were $1.6 million compared to $700,000 last year. The increase related primarily to internal use software development costs, with major investments in infrastructure behind us, including our new ERP system and our new U.S. distribution center, we have been able to significantly decrease our annual capital investments compared to recent years. Capital expenditures for 2023 are expected to be $4 million to $5 million. As a result of our progress and significantly improving working capital, we delivered strong cash flow before financing at $55.6 million compared to a use of $26.1 million during the same period last year. We allocated our strong cash flow primarily to reduce debt as well as to return value to shareholders through our quarterly dividend and share repurchases. On June 30, 2023, net debt was $57.8 million compared to $126.3 million on June 30, 2022. During the second quarter, we paid $1.5 million in regular cash dividends and repurchased around 57,000 shares at prevailing market prices for an aggregate purchase price of $600,000. As of June 30, 2023, we had $72.4 million of available borrowing capacity under our credit facility. Now, turning to our outlook for the full year 2023. As Greg reported, we continue to expect total revenue to be flat with full year 2022. Operating profit is expected to increase compared to 2022, excluding the $10 million insurance recovery in 2022. Cash flow before financing is expected to increase significantly compared to 2022 as a result of our improvements in net working capital. Our outlook could change if retailer replenishment orders or customer demand are softer than currently expected. That concludes our prepared remarks. We will now turn the line back to the operator for Q&A.
Operator: There are no audio questions at this time. I will now turn the call over to Greg Trepp for closing remarks.
Gregory Trepp: Thank you. In closing, I want to recap the reasons we are excited about the second half of this year. We have a strong stable of owned brands, anchored by our flagship brands Hamilton Beach and Proctor Silex. We also have a strong suite of partnership brands that have allowed us to gain share in the premium segment of the market, as well as enter new categories. Our Bartesian and Numilk partnerships benefit both our consumer and commercial markets. We have been awarded incremental placements and promotions across a wide range of categories and a broad group of North American retail customers in brick-and-mortar, omnichannel and eCommerce only channels. We have also grown our customer base within our global commercial businesses. We expect these wins to have a positive impact on our results in the third and fourth quarters. We benefit from our leadership in the small kitchen appliance industry, which has a long history of strong, durable demand. That concludes the report for today. Thank you again for joining our call.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.